Operator: Good afternoon, and welcome to the Worthington Industries Fourth Quarter 2013 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded at the request of Worthington Industries. If anyone objects, you may disconnect at this time. I'd like to introduce the host, Ms. Cathy Lyttle, Vice President of Corporate Communications and Investor Relations. Ms. Lyttle, you may begin.
Catherine M. Lyttle: Thank you, Shannon. Good afternoon, and welcome to our fourth quarter and year-end earnings call. Certain statements made on this call are forward-looking within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to risk and uncertainties and could cause actual results to differ from those suggested. Please refer to our fourth quarter earnings release issued this morning for more details on those factors that could cause actual results to differ materially. For anyone interested in listening to this call again, a replay will be made available on our company website, worthingtonindustries.com. On the call today are John McConnell, Chairman and Chief Executive Officer; Mark Russell, President and Chief Operating Officer; and Andy Rose, Vice President and Chief Financial Officer. Let's begin with John.
John P. McConnell: Well, Cathy, thank you, and good afternoon, everyone. We appreciate your joining us. This morning, we announced a good, not our best, but a good fourth quarter which topped off a great year for our shareholders. A year in which we delivered in excess of 100% increase in share value, a year in which we delivered an increased dividend to our shareholders in a tax effective manner, and a year in which we continued to make progress on our primary objective of increasing operating margins, while decreasing the volatility of our earnings. I'm very proud of everyone here at Worthington for their hard work, their focus and for clearly moving our company forward to the benefit of our shareholders. I'll turn the call over now to Andy and Mark for more detail on the quarter and the year.
B. Andrew Rose: Thank you, John, and good afternoon. The company's performance in the fourth quarter of fiscal 2013 was solid, but declined from the prior year due to volume declines in Steel and Engineered Cabs, offset by healthy earnings growth in Cylinders and at the joint ventures. The prior year also included a $2.1 million gain on the sale of a Steel Processing facility in Vonore, Tennessee. Quarterly earnings per share of $0.46 were down $0.29 from the prior year, but were negatively impacted by several restructuring and impairment charges totaling $0.14 a share. Inventory holding losses also hurt earnings by $0.02 a share during the quarter as steel prices fell compared to the prior year when rising prices led to FIFO gains of $0.03 per share. Restructuring charges totaling $0.14 can be found in 3 places on our income statement. First, in the restructuring line, we recorded a $5 million impairment charge on our Indian Cylinder operation and the remaining $2 million was primarily severance related to the recently announced consolidation of our Medina hand torch facility. Second, 40% of the Indian impairment charge or $2 million is attributable to our minority partner and is eliminated in the noncontrolling interest line, so the net impairment on India to Worthington was approximately $3 million. Finally, additional restructuring charges of $5.8 million are contained in the equity and net income line. The majority of which are related to the write-off of our China construction JV. Volume growth was mixed in the fourth quarter. Cylinders volumes, overall, were down 2.7% year-over-year, but this metric does not tell you much about the underlying strength of some of the higher-growth segments, such as alternative fuels and energy, which tanks tend to be lower in volume but higher-priced. Steel Processing direct volumes were down 6%, while toll volumes declined 18%. Steel volume declines were concentrated in our coatings business, primarily Spartan, where our partner has moved business to their in-house galvanizing facility. This decline has reversed recently and Spartan remains solidly profitable. The Engineered Cabs business continues to be soft, primarily at its largest customer. The business generated $3.8 million of EBITDA during the quarter before corporate allocations and $25 million for the fiscal year, a 22% decline from when we purchased the business in December 2011. Equity income from our joint ventures during the quarter was down $1.2 million, but up $4.6 million, or 21% after excluding the previously mentioned $5.8 million in restructuring charges. The improved performance at WAVE, ClarkDietrich, TWB and ArtiFlex were offset by modest declines at WSP and Serviacero. We received dividends of $30 million during the quarter, including our first $10 million earnings distribution from ClarkDietrich. Free cash flow for the quarter was $67 million after a modest decrease in working capital and $10.2 million in capital projects. We distributed no dividends during the quarter as the March dividend payment was made back in December of 2012 to shareholders, but we did repurchase 925,000 shares during the quarter at an average price of $32.88. The Board of Directors yesterday declared a dividend of $0.15 per share, a $0.02 per share increase over the previous amount, payable in September 2013. Our business has been performing well and generating an increasing amount of free cash flow and we are pleased to raise our payout by 15% to our shareholders. We continue to believe that maintaining a competitive dividend is an important component of shareholder return and we'll continue to evaluate further moves as our business grows. Debt increased by $83 million during the quarter, primarily related to the acquisition of Palmer Tank in April for $113 million. Our balance sheet remains strong. At quarter end, we had total funded debt of $521 million and $405 million available under our revolving credit facilities. Debt has declined an additional $40 million just in the month of June. The integration and financial performance of Palmer Tank, our second acquisition in the oil and gas energy production space, are going well. We are already investing in new production capacity to meet current market demands. Looking back, we have acquired 12 companies in the past 4 years for just over $585 million. At current run rates, these businesses will contribute over $140 million of EBITDA in the coming year, while furthering our objective of raising our margins, free cash flow and return on capital. Several of these companies are in fast-growing markets such as alternative fuels and energy production and storage. Excluding the restructuring and impairment charges, fiscal 2013 earnings per share of $2.08 was the highest in the company's history. Our 12 months trailing EBITDA at the end of the fiscal year was almost $300 million. Fiscal 2013 saw our stock price appreciate 112%. In addition, we distributed $44 million in dividends and repurchased shares totaling $30 million. In fiscal 2013, the shareholders of Worthington Industries had a very good year. Our multi-pronged growth strategy continues to drive base business improvement via the Centers of Excellence, particularly in Cylinders and Engineered Cabs, where we are in the early stages; acquisitions of new products and entry into new markets and accelerated organic growth from product development and innovation. We are proud of everything our employees accomplished in 2013 and even more excited about the momentum we carry into 2014. I'll now pass the call to Mark Russell, who will discuss operations.
Mark A. Russell: Thanks, Andy. We had a solid quarter from an operations perspective. The WAVE joint venture with Armstrong continues their strength with yet another record year, not just for profits, but in all aspects of operations, including safety. Their locations are not only the safest and most productive within Worthington, they're among the safest and most productive in the world. WAVE remains very well-positioned as the North American commercial construction market continues to recover. Our ClarkDietrich JV with Marubeni-Itochu continues to strengthen, and like WAVE, is well-positioned to capitalize on the commercial construction market's recovery and growth. TWB had another strong quarter. It continues to thrive in the steady automotive market. Customer demand in Engineered Cabs remained soft, though we saw some evidence of significant reductions in the excess downstream inventory levels, which clearly accentuated the correction in some end markets. However, we saw no real increases in demand, and the mining equipment market, in particular, remained soft. As in our steel business during the 2009 and '10 downturn, we are taking advantage of these market conditions to increase the pace and focus of our transformation work. We recently kicked off the diagnostic stage of our process at the third cabs facility, which is the flagship operation in South Dakota. We see strong engagement and potential improvement on multiple fronts, which match or exceed those we saw at this stage in steel or Cylinders. The previously announced retirement of Bob Kluver and the appointment of John Lamprinakos as the new President of this business will be effective July 1. For most of the last decade, John has led our extraordinarily successful WAVE joint venture with Armstrong. So we look forward to the results of his leadership as he takes the reins at Engineered Cabs next week. Overall, we're still confident in our long-term prospects for the cab business. Volume and demand in steel matched the quarterly market data published by the MSCI, with the notable exception of coated products. The main driver of the shortfall here was tolling volume at our Spartan JV with Severstal, which is still negatively affected by our partners' balancing of production between Spartan and their new Dearborn galvanizing operation. But by the end of the quarter, Spartan's volume had begun to recover as Severstal's new line is now full. So we expect Spartan's volume to continue to improve going forward. Otherwise, demand in automotive and other key steel markets was steady, with residential construction showing surprising strength. Of course, our exposure there is limited. We announced during the quarter our intention to invest capital to increase our cold-rolling and annealing capacity and productivity. Specialty strip is steel's highest value-added product, and we intend to maintain world-class capability to meet or exceed customer needs going forward. Our transformation approach, combined with the strong performance of our recently acquired entities, continues to yield impressive results in Cylinders. The restructuring charges Andy outlined include the consolidation of all BernzOmatic production into 1 location, which will further decrease cost and increase productivity going forward. Alternative fuels revenues surpassed $77 million in fiscal '13, up 27% year-on-year. We're very focused on accelerating this organic growth curve by adding liquid cryogenics to our product offering. We introduced industrial gas customers to our first ever cryogenic cylinder prototype during the quarter. Regular production will begin in a few months, and similar natural gas cryogenic products are currently in our development pipeline. Our sales growth in energy production tanks and separators continues to be nearly off the chart, starting, of course, from a very low base prior to the acquisitions of Westerman and Palmer. The integration of these companies continues to go very well, particularly on the commercial front. Plugging these businesses into our commercial sales organization has yielded immediate order increases. Energy and alternative fuels continue to be among our best growth ideas going forward. Together, alternative fuels and energy will represent more than 1/4 of total revenue and an even greater proportion of Cylinders earnings in fiscal 2014. So you'll hear more from us in future quarters about our expansion in these markets, where the shale gas revolution is driving impressive and sustainable growth. John, back to you.
John P. McConnell: Thank you, Mark. Andy, thank you. We begin fiscal '14 with optimism and excitement; optimism in the continued strengthening of the broader economy and in particular, the early stage strengthening of single-family and commercial construction markets. I'm excited about the future organic growth in all of our businesses and our acquisition pipeline. What I'm most excited about is our strong balance sheet provides us the ability to fund our growth and our future. We are very well-positioned to make additional acquisitions, raise our dividend, invest in businesses and buy back outstanding shares, the mix of which we'll determine by the circumstances at any given point in time. At this point, we would be happy to try to answer your questions.
Operator: [Operator Instructions] The first question is from the line of Luke Folta with Jefferies LLC.
Luke Folta - Jefferies & Company, Inc., Research Division: I wanted to ask a question about CNG. I mean, you and your competitors have some really bullish things to say about what's going on with market conditions. I remember when you acquired some of these businesses, them being interesting growth opportunities but maybe not the most profitable of Cylinder businesses that you own. There's been some consolidation in the space. Has that changed at all when you think about margins and profitability for those tanks?
B. Andrew Rose: I don't think -- we've bought 3 businesses in this space. We bought a company in California, SCI, back in 2010; we bought a company in Poland, STAKO; and then we bought a business in India. The only one that wasn't profitable when we bought was in India, and that continues to be a challenging market, which is why we had an impairment charge there. The other 2 businesses have, and continue to be profitable and in particular, the business that we bought in California has been very profitable. And while I recognize that that's a competitive market, I think we continue to expect that to be a good place to do business from a margin standpoint.
Mark A. Russell: Yes. Those are some of our best margins, and that correlates, Luke, with the fact that shale gas is driving that in North America and that's not yet global. But if you correlate with that, SCI is doing very well.
Luke Folta - Jefferies & Company, Inc., Research Division: Okay. All right. And you talked about -- can you just -- I've been pretty excited thinking about the opportunity of you getting involved in the cryogenic cylinders. And you just noted that you, I guess, sent some prototype tanks out to your customers. Is there anything more you can tell us about what the feedback has been, and what your level of confidence is that this becomes a commercial product line for you?
John P. McConnell: We're highly confident it's going to be a commercial product line. That's why we're entering it. It was kind of one of the only holes in the cylinder lineup that we thought was important to close. We've looked at a number of opportunities to get into this market, and at the moment, the best way to do it is to develop our own. So yes, we are committed to developing the full line of cryogenic tanks and just do a methodical march until we got them across the board.
Luke Folta - Jefferies & Company, Inc., Research Division: Okay. And then, on the investment you're making in Steel Processing, is that based -- the cold-rolling and annealing, is that basically kind of more capacity, similar to what you have? Are you moving into kind of the more, like the ultra-high-strength steel type of annealing, like, something like U.S. Steel is doing with Kobe, like the next-generation technology?
Mark A. Russell: We are looking at that, Luke, but the investments that we're referring to and the ones we talked about in the announcement are in the -- that showed up in the press, these are enhancements to our existing facilities. We're not going to build any new facilities, and they are focused on increasing our cold-rolling and annealing capacity. We are looking at possibilities in ultra-high-strength and advanced high-strength. But these are -- the ones we're talking about are for cold-rolled strength.
Luke Folta - Jefferies & Company, Inc., Research Division: Okay. And just last one, if I could. Engineered Cabs, can you give us some sense of what the impact was from, like, production issues with your customer in the quarter? I guess what I'm trying to get as is, what is the base level of business at the current demand level? And how much of it was just kind of a 1 quarter phenomenon?
B. Andrew Rose: When you say the base level, you mean like what is the revenue run rate?
Luke Folta - Jefferies & Company, Inc., Research Division: Yes.
B. Andrew Rose: Yes. I mean, I think where we are right now is just sort of a comfortable run rate. I don't sense and I don't think our guys sense that there's a big decline ahead of us. The question at this point is, is there a recovery in the market?
Luke Folta - Jefferies & Company, Inc., Research Division: Right. I thought I read something about a production issue with a customer this quarter in your press release?
B. Andrew Rose: No.
Luke Folta - Jefferies & Company, Inc., Research Division: Okay. I must have misread that.
Operator: The next question comes from the line of Sohail Tharani with Goldman Sachs.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: I was wondering, how far are you in your oil restructuring? How much is it going to take because it's been taking the restructuring charges for last couple of years?
B. Andrew Rose: Yes. Well, the restructuring that we are doing now is very specific to mostly plants. I mean, some of the restructuring that we did 4-ish years ago was related to transformation. But now what's happening is these are businesses that we've invested in, at least this quarter, 2 businesses that weren't performing and meeting expectations. Not so much restructuring related to transformation. The BernzOmatic restructuring charge is really an acquisition that we made, it had 2 facilities. And because we had a complementary facility, it made sense to consolidate to become more efficient and more productive. So it's hard to predict when these things are going to appear, but there's not any major restructuring on the horizon that we're aware of. It doesn't mean something might come up, but at least right now, I wouldn't expect more quarters like this one with respect to restructuring.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: Okay. Also, I thought I read somewhere that you are increasing the capacity of your strip mills, strip products? Is that correct?
Mark A. Russell: That's correct. We are doing that, Sohail.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: Okay, what -- how much are you increasing it by?
John P. McConnell: How much are we increasing it by, volume, Mark?
Mark A. Russell: That will depend on the final decisions on the equipment, Sohail. But we're looking at an increase in the range of 15% to 25%.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: Okay. And this is -- you already had it increase when you bought, I believe, the Gibraltar products, Gibraltar business.
Mark A. Russell: Correct. That basically doubled our capacity and now we're full again, so we need to increase it.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: Okay. Now you do a lot of tolling business for the auto industry. I was just wondering, there has been some talk that over the next few years, there will be quite a bit of aluminum in the auto bodies going to get involved. And I was wondering if you have started to think about it or talked to any of the suppliers or buyers if you'll be able to provide that service also in terms of cutting aluminum for tolling?
Mark A. Russell: Absolutely, Sohail. We actually, already, are processing small amounts of aluminum. And as that transition happens, we will just simply pivot to processing aluminum.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: And would you be also -- do you also do service center for aluminum products or mostly – I mean I'm not talking about the tolling in terms of your typical service center. Do you do aluminum flat-rolled also or just steel at the moment?
Mark A. Russell: Well, like I said, we do, do some aluminum tolling business. It's very small but we do some now and we're prepared to increase that as customer needs require.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: Okay, but not sort of stocking aluminum flat-rolled products.
Mark A. Russell: No, we don't -- we're not an aluminum stockist by any means, no. But we are prepared to process.
Operator: The next question is from the line of Aldo Mazzaferro with Macquarie.
Aldo J. Mazzaferro - Macquarie Research: I was wondering if you could discuss a little bit your decision to buy back shares in the quarter? How does that compare with opportunities you've seen in the acquisition front? Does it imply anything about your opportunities as you see them going forward?
B. Andrew Rose: Not really. I'd say a couple things on that front. One is, one of the benefits of performing at a higher level is you generate a lot more free cash flow. And so we've been able -- for example, we bought Palmer and we've probably paid off half of the acquisition already since the middle of April just through cash flow generation. So and as John mentioned, we have a very strong balance sheet. We have probably less than $500 million worth of debt today and a trailing EBITDA of $300 million. So we're comfortable with our leverage level. The other thing that has been a little bit of a headwind for us over the past year is that our stock price has appreciated. We've had a number of option exercises. So our share count has actually gone up 2.5 million shares, maybe even a little more over the past year. So we try and -- we'd like to try and offset some of that increase in share count as well. I think also, not to try and get too sales-y, but I think with the number of initiatives that we have and the strategy that we're deploying and the confidence that we have in our ability to create value going forward, you might say, "Hey, the stock was up 100%, what the heck are you doing buying stock? "But we think we're still a long way from the earnings potential of the business. So it's somewhat of a kind of confidence as well.
Aldo J. Mazzaferro - Macquarie Research: All right, that sounds good. In terms of your -- another follow-up I had was the cash distributions you got this quarter, I thought you said it was about $30 million?
B. Andrew Rose: It was.
Aldo J. Mazzaferro - Macquarie Research: And $20 million came from ClarkDietrich. Is that a one-time payment or is ClarkDietrich going to try to maintain that kind of a payout for you?
B. Andrew Rose: No, Clark paid us $10 million, so they actually did a $40 million distribution, we own 25%. But that business, obviously, 3 years ago, that was a -- that's what we talked about on every earnings call, was how poorly performing Dietrich was. And we put that together with their largest competitor, Clark, and they've done a great job at turning that business around. And so they're generating a lot of cash flow over there, and so they're going to distribute earnings. So it's been a good success story for us. So and that -- as our joint ventures continue to perform, the only JVs that have debt on them are WAVE, as you know, which continues to pay strong dividends. I think in this quarter, $15 million or $17 million was the WAVE dividend. And ArtiFlex has the modest amount of debt. But all the other JVs, as they generate cash, they're going to build cash and ultimately, we would expect to receive dividend.
Aldo J. Mazzaferro - Macquarie Research: So do you expect the cash to exceed the accrued equity income?
B. Andrew Rose: For ClarkDietrich, specifically?
Aldo J. Mazzaferro - Macquarie Research: No, I mean overall, like if you just look at your portfolio?
B. Andrew Rose: Well, the only way that would happen is if we leveraged the companies. We've done that a little bit with WAVE. We don't have any specific plans to do that with other joint ventures. It is a possibility, though. Yes. I mean I think the way to think about it is we expect to get kind of 80% to 100% of the equity income in the form of dividends every year. The only way it would go above that is if we were to leverage the JVs.
Operator: Your next question is from the line of Michelle Applebaum with Steel Market Intel.
Michelle Applebaum - Steel Market Intelligence Inc: So I want to ask Mark to comment on the recent steel price increases, the third one that came out yesterday. And I'd like an answer on the specific question of, how sustainable is that and are we inviting imports in? And I'd like a non-diplomatic answer. Mark, you are such a diplomat.
Mark A. Russell: We always tell you what we think. And the price increases are justified, I think, more on the supply side than the demand side. The demand is steady, but it is not strengthening mightily anywhere. But there is a reason for them to be raising the price. And as you're watching scrap, you see scrap starting to strengthen also. So it's not just certain products, it seems to be moving across the board. But there isn't a whole lot of demand side drive for that at this point that I can see. You obviously talk to a lot more people than we do and we'd be interested in your opinion, but...
Michelle Applebaum - Steel Market Intelligence Inc: That's a diplomat answer. I want your opinion. You can call me and pay me for my opinion later if you want.
Mark A. Russell: As far as it is sustainable, if they get out of hand, they know they will invite more imports. And you see some of the signs of imports starting to increase. So if they get greedy, the imports will come and discipline them. We've seen that before and that will happen again.
Michelle Applebaum - Steel Market Intelligence Inc: Okay. The second question is, can you help me out, please, on the cabs because I don't understand. So there was a problem because cab was adjusting production, and I'm not a good machinery analyst, so I don't know this stuff really well. And so it looks like you still had a pretty weak quarter, but I thought -- it's the same question, I think, that someone else was asking, but I still didn't understand it and I apologize. I'm a better steel analyst than I am a machinery analyst.
John P. McConnell: Well, I think the story in cabs is that it did retract, but it's fairly stable at these levels at this point. And we're seeing some signs, as Mark said in his remarks, that the inventory throughout the chain is going down. So we think that's a good sign leading us back to shipping more cabs in the future. But it's going to take a little while. The end markets are still a little soft.
B. Andrew Rose: And the other thing, Michelle, that we're trying to convey mostly through my commentary is the underlying EBITDA of that business is down 20% from when we bought it. And that's the way we think about the performance of the business. Now from an accounting standpoint, when you buy businesses, you write up a lot of assets and you create intangibles that you have to amortize, which creates a lot of depreciation and amortization, which affects the operating income of the business. And we also put some of our corporate overhead, where – it's one of -- just because the way we account for it, we spread that out across our consolidated businesses. So you add those 2 things to the business and all of a sudden, you've got a business that's losing a little bit of money on an EBIT basis. So while the business is not meeting our expectations, we do have a lot of work we need to do to make them a better business. And it has experienced some headwinds. It's not a complete disaster like it might appear if you just look at that EBIT number that we show you.
Michelle Applebaum - Steel Market Intelligence Inc: Yes, but Andy, I mean, you got to allocate the purchase price, it's return on investment. It's not what the business was doing before. I mean, I get that part, but if you over -- if you end up overpaying for a business and you're allocating too much DD&A and the overhead is appropriate then, obviously, yes, I think it's kind of apples and oranges. But so can you comment on transformation then coming in that business?
Mark A. Russell: I can certainly comment on that, Michelle. We still see as much opportunity, if not more. Truly, there's a lot of opportunity in that business. And the downturn gives us a great platform to do transformation work. We've made some of our best progress in steel during the darkest days.
Michelle Applebaum - Steel Market Intelligence Inc: Yes, cool. I like that.
Mark A. Russell: And that's what's going on in there now. You got new leadership in there. You got our transformation and Centers of Excellence teams in there. There's as much upside there as there ever was in steel. And that market's going to come back. And we -- for example, we are cutting costs as much as practically you can without reducing productive capacity. We're not going to reduce capacity because we're going to need that. And this is going to be a good business for us going forward.
Operator: The next question is from the line of Chris Haberlin with Davenport.
J. Christopher Haberlin - Davenport & Company, LLC, Research Division: Could you just provide a little bit more color about the growth trajectory of the energy and alternative fuel subsegment of Pressure Cylinders? I think I heard you say that it should be at least 25% of revenue, segment revenue next year?
B. Andrew Rose: That's correct. I mean, I guess, the 2 data points I would point to that we've already said, one is in alternative fuels, that revenue was up 27% last year from a base of $60 million to $77 million. And then, we've acquired 2 businesses in the past year, Westerman and Palmer, that the combined revenue of those 2 businesses is, I think when we bought them, they were both around $70 million, $75 million. So when you add those 2 together, they're close to $250 million of revenue, and extrapolate from there in terms of the Cylinder business and that's where you're going to be. Those businesses, we expect will be 1/4 of Cylinders revenue and a higher portion of their earnings just because they're higher-margin businesses.
J. Christopher Haberlin - Davenport & Company, LLC, Research Division: And then the margin profile for those businesses, I guess, the Palmer slides kind of implied a EBITDA margin of 30%. I mean, is that kind of consistent with the energy and alternative fuels? Or is that above or how should we kind of think about margins in that subsegment?
B. Andrew Rose: I mean, Palmer, obviously, was a unique business, a little bit different than some of the others. I'd say, an outlier in terms of being on the high side. But the margins in both of those segments, overall, are the highest in the Cylinder business. And part of that is because they're rapidly growing markets.
Mark A. Russell: Chris, to give you some idea about the potential for the upside, both Westerman and Palmer, when we acquired them, were only using about 1/3 of their capacity. And we immediately plugged them into our commercial machine, which has some of the best representation in the world for cylinders and tanks, and we saw immediate order increases. So we're very excited about those prospects going forward.
J. Christopher Haberlin - Davenport & Company, LLC, Research Division: And then just lastly, on Steel Processing. I guess I had expected some bigger margin contraction in the quarter than what you all reported. Were there any mitigating factors? Was there a shift in product mix towards higher-margin products. I know you mentioned that the strip capacity is running full right now. Could you kind of talk about some of their drivers that helped margins in the quarter with steel prices falling so much?
Mark A. Russell: Well, what helps us there is the fact that automotive is very steady, and that's our biggest demand for strip. And so that held very steady. And what we -- where you see the declines is in the coated products, mostly at Spartan. And that's mostly tolling. So that -- all of those things help us to hold good margins even if the volume was a little bit soft.
Operator: Your next question comes from the line of Mark Parr with KeyBanc.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: I was wondering if you could give a little more color as far as the earnings impact associated with the transformation. I guess it's kind of a restructuring going on at Spartan, how that volume's come down, now it seems to have stabilized. And was that a major earnings contributor on the downside during the quarter?
John P. McConnell: It was, perhaps a little better than the previous quarter. But there was no restructuring. This was just that our partner built a new galvanizing line and they wanted to fill it up and they have. So whatever they could transfer out of Spartan, they did. And as new orders came, if they could play it their way, they did. But now we see them starting to increase their tolling business back into the joint venture because they're full. So it's really that kind of simple of a story.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: Okay. So John, the impact in the May quarter was you said a bit less than it was in the February quarter?
John P. McConnell: If you just look at its own run rate.
Operator: The next question comes from the line of John Tumazos with John Tumazos.
John Charles Tumazos - John Tumazos Very Independent Research, LLC: I have some simple questions on revenue. The reported revenue was $704.1 million. How much of that revenue was from the recent acquisitions? Or how would it have compared to a year ago on a same-store basis, same businesses? And then the JV revenue was reported at $447 million, and how did that compare to a year ago?
B. Andrew Rose: Well, from an acquisition standpoint, we had -- let's see, Westerman was a $70 million, $75 million business. We had 3 quarters of Westerman and we had about 5.5 weeks of Palmer, which is a similar revenue business. So those are the only 2 acquisitions that we did during the year. So you're talking probably $85 million, $80 million. That's revenue even higher [ph].
Unknown Executive: [indiscernible]
B. Andrew Rose: Yes, so it's $70 million, $75 million total of revenue related to Westerman and Palmer.
John Charles Tumazos - John Tumazos Very Independent Research, LLC: Or about $30 million in the quarter, $10 million plus $20 million?
B. Andrew Rose: Yes, maybe a little less than that, maybe $15 million, $17 million. And then what was your second question, John?
John Charles Tumazos - John Tumazos Very Independent Research, LLC: How much was the JV revenue year ago, how would it compare to the $447 million on consolidated revenues?
B. Andrew Rose: We'll get that and we'll answer it.
John P. McConnell: John, if it's okay, we're checking that. We'll -- let's take the next question. We'll come back before the end of the call on that.
Operator: The next question comes from the line of Michelle Applebaum with Steel Market Intel.
Michelle Applebaum - Steel Market Intelligence Inc: So expanding Steel Processing, so where are you doing this and why are you doing this? And isn't this the first time in, like, 20 years anyone has done this? So can we talk more about that?
John P. McConnell: Yes, it is, Michelle, those assets have been around for a long time, and they do need some upgrading. They needed some upgrading, anyway, and since we're out of capacity, we're going to add capacity at the same time. So the bulk of the investments will be focused in the Cleveland operation, but there will be some in Columbus. And our intention is to bring us up to state-of-the-art in both places.
Michelle Applebaum - Steel Market Intelligence Inc: Okay, so it's a combination of refurbishing existing assets, which as part of that, you end up with 20% more capacity.
John P. McConnell: Yes, what we'll do is we'll go a little wider.
Michelle Applebaum - Steel Market Intelligence Inc: Okay. How much wider will you go?
John P. McConnell: That's up for debate. That's why I gave you a range for the increase.
Michelle Applebaum - Steel Market Intelligence Inc: Okay. All right. And this is the first capacity expansion, at least, north of the border in, like, forever, right?
John P. McConnell: Well, the market has been in consolidation mode, as you know, for a long time now. And it's consolidated. And it's where it needs to be. And now we need to make sure we can keep up with demand. And if the build rate gets any higher, we'll need it.
B. Andrew Rose: John, the answer to your question on JV net sales is the sales were up 5% from fiscal '12 to fiscal '13, so $427 million was the '12 number.
Operator: [Operator Instructions] Please continue, there are no further questions.
John P. McConnell: Well, again, thank you all for joining us today. We're off to a good start in the upcoming fiscal year. And look forward to talking to you again next quarter. Thank you.
Operator: Ladies and gentlemen, this conference will be available for replay after 3:30 p.m. Eastern Time today, through July 4 at midnight Eastern Time. You may access the AT&T playback service at any time by dialing 1 (800) 475-6701 and entering the access code 294986. International participants please dial +32-0-3653-844 with the access code 294986. That does conclude our conference for today. Thank you for your participation and for using AT&T Teleconference. You may now disconnect.